Avishkar Nagaser: Good afternoon, ladies and gentlemen, and welcome to Gold Fields' results for the six months ended 30th June 2018. Just before we start, the exits are at the front and the back. And if it's an emergency, you assemble outside the building. I'll hand over to Nick the presentation and we'll do questions and answers after that. Thank you, Nick.
Nicholas Holland: Thank you very much, Avishkar. Good afternoon, everybody. Thanks for taking the time to join us today to talk through these results for the first half of 2018. I think first of all, although a lot of the news this week has been focused on South Deep, we shouldn't forget that, of course, there are a number of other operations in the group that are doing quite well actually, certainly, we believe so. Strong performance from the international ops. They have made $190 million after taxes and all capital from the project. CapEx. So pretty good performance there. They are on track to achieve their guidance for the year in terms of production. And look like they should as well achieve their cost guidance. Damang, in particular, is tracking well. I'll talk a little bit about that later. That's ahead of plan. Gruyere remains on track for first gold in quarter 2 next year. That's what we said previously. We're still on track. CapEx is a little bit higher than what we said before. It's about 18% up from what we thought it would be. And we're roughly just over halfway through that spend with physical progress about 60% overall, so tracking reasonably well. South Deep restructuring and the impairment we announced on Tuesday, I'll talk about that again a little bit later on. Balance sheet's good. The Asanko transaction we completed on the 31st of July so we now earn a 45% interest in the Ghanaian operation of Asanko. I've got some slides on that too. In line with our policy, a dividend of $0.20 per share, which represents around about 1/3 of our normalized earnings. So here is some of the headline numbers. Production, this is from continuing operations because, essentially, Darlot was in the numbers for last year but in terms of our accounting, we take out discontinued operations so this is like-for-like. Production just under 1 million ounces for the half year, about 2% lower than what we had last year. Most of that decline linked to South Deep, also Tarkwa. All-in sustaining costs virtually flat. All-in costs slightly higher and that's really on the back of our projects picking up steam as we expected them to do. Mine cash flow $149 million. Remember, I talked about that $190 million on the previous slide, but if you put in South Deep, there's a $41 million outflow in the six months so that drops this to $149 million, nicely up against the previous year of $108 million. The one thing that Paul and I look at more than anything is our cash. For us, we don't get too hung up on the earnings. We're much more focused on how much money we make, how much cash. That, for us, is the real issue. So nice to see that, that's up. Project spending, as I mentioned, that's up to $192 million. The pickup there is really on Gruyere and Damang as they picked up. Those are the 2 main contributors, and pretty much in line with what we expected. So, of course then, after project capital, we are cash negative from the business. This is what we call the core business, $79 million out compared to $102 million out last year this time. Also just to remind you we said that 2017 and 2018 would be cash negative with the new projects. And we're reasonably comfortable that these numbers are okay, and even though the gold price is coming down, as you will see a little later, we've got some hedges in place that will protect us over the balance of the year. So normalized earnings, $43 million. That's the figure if you strip out all of the fundings, the nonrecurring items compared to $75 million. That's lower than last year even though our operating profit was higher on the back of the high gold price. And the main reason for that is high exploration costs have come through and higher social costs, which go below operating profit. That's the main reason for that coming through. The dividend, I have spoken about. Debt, I have spoken about, 1.07. We have always said we don't like to be above 1. And as you will see later with the Asanko deal, if you rebase that on a pro forma basis up to the end of July, that would be 1.19x, which includes the $165 million we've written out to acquire the 45% interest in Asanko so still reasonably good. So you've seen the headline numbers in the group. 7 mines, of course, across the group, 2 projects, 994,000 ounces. But if you look at the individual regions. If you look first at West Africa, Tarkwa and Damang. Attributable production there of 319,000 ounces, just a little bit lower than the previous year. Some pluses and minuses. Damang up - appreciably up, Tarkwa down a bit, in line with what we expected it to do. All-in costs, which include all of the project capital at Damang, $1,114, slightly lower than the previous year. But if you look at all-in sustaining costs, the region is actually down at around about $900 an ounce on an all-in sustaining basis, if you strip out the project capital. Cash flow before the Damang project, $64 million, making good money over the Americas region. Of course, Cerro Corona, very steady, virtually the same as last year. Costs of $737 an ounce, slightly higher. That's on the back of the higher strip. What we're doing now, as we reposition the mine for the life extension to 2030, we have to progressively move more strip as we reposition the pit for the increased production. So the strip ratio was an average of life of mine of about 1, and it's now going to be more like 1.5 to 2 as we increase that strip to open up those additional reserves. But still very competitive. Cash flow, $41 million for the half year. South Deep, as we've spoken about over here, production of just under 100,000 ounces for the half year compared to 119,000 ounces the previous half year. All-in costs here, obviously, way, way high, $1,800 and, I think, that tells you why the restricting has taken place. Sort of means and the way I have explained this to the media in a way they understand is, this operation is cash negative to the June of about ZAR3 million a day and has been for some time. You know that is something that is clearly not sustainable for us. We're not getting enough production given the high fixed costs at our twin shaft system down at 3,000 kilometers - 3,000 meters, rather. And a process plant on surface, 2 backfill plants that we can't support all of that. So clearly, that's one of the reasons for the restructuring. Looking at Australia. Over here, we've got the 3 mine left after Darlot is gone. Very solid again, 442,000 ounces, on track. All-in costs of USD 900. Net cash flow USD 86 million, so going along nicely. Balance sheet. I mentioned we're in pretty good shape. I think the one thing that's a little bit of a flashing red light for all of us is interest rates have gone up. If you look over here, we've seen about 1.5% pickup in the base LIBOR rates that we used to pay our floating debt on. And in fact, that's flowed through in a weighted average increase of over 1%. I think if you believe what's going to happen in the States with interest rates, it's quite possible we'll see another 1% to 2% over the next 18 months. What does it mean for us? Every 1% is about $10 million in terms of our interest book, that's the delta. So I think, as a strategy, we've got to be looking at delevering over time. Certainly, as our projects come through, and we're just about halfway through our projects right now, we should be looking to deploy some of that cash, delever the balance sheet, particularly as the gold prices are a bit soggy and might be soggier for a while. And particularly given the fact we've got maturity coming up here, we've got a bond coming up there. So we are assessing refinancing options and we'll make a call on that most probably early next year as to what we do. Clearly, we want to make sure we manage the tenure of our debt, and we don't like to have too much that is all maturing at once. So we've got a strategy to think about how best we deal with that in time. Also worth mentioning that we've got an upgrade on our debt rating as well, which was nice to see, which marginally reduced our cost of debt just recently. Okay, hedging. We've taken out some hedging to protect us at times of big capital expenditure. That's bang in line with our policy. And broadly, we've covered it on cost and revenue. The oil hedge, we took out some time ago at a basis price of just under $50 a barrel. I mean, as you know the price today is hovering somewhere above $70. So it's proved to be pretty good business for us. It's made some good money for us and protected us against these big increases. And we've hedged about 50% in Australia and Ghana. Those are the operations that are most sensitive to oil and to diesel. Then on the gold side, we've hedged Ghana and Australia. Obviously, some of these hedges have now been matured, and we've delivered on them. But essentially, we're looking at a situation where we've hedged about 80% of the remaining production at Ghana for the year, and, virtually, everything in Australia. Ghana has a floor of USD 1,300. Australia has a floor of about $1,700, a mixture of caps and color structures rather than forwards that have protected us. We're a little bit in South Africa, but nothing of consequence. We have also hedged out the copper in Peru at a base price of $3 a pound. And that's also in the money now. So this is giving us at least some comfort that we can fund our capital programs. People often ask, well, are you worried about the drop in the gold price, of circa $100 over the last month or so and your ability to fund out projects? We're not worried. Hedges will carry us through and as we get into next year, we really are through the hump of the capital in our projects. Let's look at Asanko and what we have bought into. So over here, this is a map of Ghana over here. And here is the Asanko gold belt over year. And it's sandwiched between 2 big belts on this side over here. Here you see one of new months of operations over there. There you see Toronto, that's Kinross and another one of new month's operations over there and, of course, Obuasi, which is over here. So these are recognized gold belts, and we are in a fairly underexplored gold belt in the middle here. And this is the dark blue. It's the least area that Asanko has. Here is Tarkwa and Damang down here. We're about 100 kilometers to the north so that gives you an idea of the positioning. Then if you look at a high resolution of that, down here, you've got Nkran, which is the main pit source at the moment. They've been stripping the first six months of the year. They're now back into production. They also are mining from two small satellite pits, Dynamite Hill and Akwasiso. But the main price for the future is up here, that's Esaase, and we can actually move and show you what this looks like. So here is a bigger picture of all of this. There is your Nkran reserve of about 1.4 million ounces. We're using the last published numbers here. And then Esaase at the top there, just under 3 million ounces. There is about a 30-kilometer distance here. We'll start stripping this pit from January next year. And we'll also be considering whether we do road transport or conveyor transport. And we have a conveyor option permitted with appropriate support from communities. So we'll decide which is the better of the 2 options as we ramp that up. As we ramp this down, we'll be ramping that up. And have a plant that can do, which is just over here really, about 5 million tonnes a year at the moment with potential to expand beyond that. So it's early days. We've just really cemented the transaction as you can see, 31st of July. We've paid the money. We've got another deferred payment, which is likely to be paid at the end of '19 of $20 million. Giving you an idea of the production. Their guidance is about 250,000 ounces, all-in sustaining costs of about $860 over the next 5 years. I stress we're going to go through a replanning exercise with them and we've started that process now. They are the operators, but we have a strong joint venture agreement that allows us to get involved. They'll be adopting all of our planning protocols and timeframes. So in February, when we are here again, we'll give you a better feel as to next year looks like and what the future is. The thing that really excites me, having been up to the site last month, is the fact that a lot of the deposits they're mining are on sheer zones. And these sheer zones run right through the property. And so if you follow this kind of a footprint, you're likely to see analogs across this entire lease area. These sheer zones run for 100 kilometers. So I think it's a fair bet that there will be some additional ore bodies, hopefully, that will be mineable in the future. And as I said, this is an underexplored belt. So one of the reasons we got in here is not just what we see now, and I mean that's a life of mine here in excess of 15 years, but also what we see in the future and what we can bring to bear here. Ghana is a great country, we know it well. We've been in Ghana now for 25 years. We've been operating there longer than anybody else other than the original Ashanti. So we do have a good understanding of what it takes to operate in Ghana. I've talked about this really. Esaase is the next part of the equation that will we start developing from next year. And as I say, exploration potential, well there it is. Very little has been done over the past few years, so it's all ahead of us, perspective grant. Damang, as I've mentioned, is doing well, 26% ahead of the plan year-on-year in terms of tonnes. Contractors are performing well. We're getting down much quicker than what we thought we would. And this is a key figure I look at. What is the vertical right of advance? 6.3 meters a month. The basic plan we put together as part of the reinvestment plan was just over 4 meters. So that's one of the KPIs I like to track. Are we getting down into the base of the ore body quickly enough and that's a key to turn. So far, we are ahead of the game. But we know as we get deeper into the pit, it is going to get harder. The material gets harder. Obviously, your drill and blast practices will have to be spot on, geotechnical compliance, spatial compliance, all those good things when you're advancing down into a deeper pit, you've got to be on it. Capital up slightly, you can see $73 million spent as against $61 million the previous year as the project ramps up. Amoanda is a hidden gem that seems to be emerging for us here, and I'll show you why. First of all, here's a picture of Damang. So that's looking north, that's north out here. This is the western wall and that's the eastern wall. And I think you can see the western wall, this is the ramp over here. The western wall has come down a hell of a lot more than the eastern wall. We've only got about 30 meters to go here to the base. On the saddle side over here, we've got about 70 meters to go. Over here on the main Damang pit, we have got about 130 meters to go. So we'll be in the ore over here next year. So that's part of the plan in the saddle area. We'll be in ore over here in quarter 2 2020. So that's the plan over there. But you could see - for those of you, who were in Damang a few years ago, this is unrecognizable. I mean this - all of this over here was right up here. So they have moved a lot of material over this period of time. So good to see the progress over here. So we look at Amoanda. Again, I'm looking north, that is Tomento over there, Tomento East up top there, which is there. That's the section view. And this is Amoanda pit 4 over there, pit 3 over there. So here's a section view. We've been doing some drilling here. And the thing that has surprised us is we thought this was just a Paleo Placer ore body wet-style mineralization. Fairly continues like Tarkwa, continuous, uniform, very average grade. But what we've actually found is that now we have a hydrothermal underprint. So these drill holes over here are actually picking up 2 styles of mineralization, with visible gold intersections coming through. And as you can see over here, the strike over here is probably about 3 or 4 kilometers. So this is turning into something really, really interesting that we never thought existed. Now, we mined Amoanda out, the original Amoanda, which is somewhere over here, about 7 or 8 years ago. And we thought that was it. So it shows there's something else there. And this is on the same trend as Damang, just further south. So follow the sheer zone, follow the trend, you'll find in the mineralization. So the potential here is very significant. So we're excited about this as an addition to what we're going to do at Damang. Gruyere, we've brought in an independent third-party review. We were concerned that the project was running a bit behind. The joint venture partners, that's ourselves and Gold Road, brought in this review. We've completed that work. And we've done a reassessment of the capital forecast. That's now coming in at AUD 621 million compared to the initial plan of AUD 532 million. And that's got a fairly high level of confidence assigned to it as you can see. We've had a $90 million change in estimate from where we started. About 1/3 of that is force majeure and scope change costs. We had some really bad weather at the beginning of the year, which stopped us. We've also had some changes in estimates with the main EPC contractor. There were some provisional sums that were included. We've got now final estimates that's probably another $30 million. So we've got a much better resolution on this. As I mentioned earlier, we're round about just over halfway through on the spend, and we're about 60% through in terms of the overall project. So, so far so good. As you can see at the bottom here, 61%. Engineering is basically done. This is also an area that can cause variations when you do your detailed engineering, but as you can see that's just about there. So we don't expect major surprises from here. So here's a view of the complex. In the distance there, you can see that's the tails dam, to be the circular dam. That's not uncommon in Australia. Here is the process plant, leach tanks, et cetera. You can see a lot of activity has taken place over here, so making good progress. Good to see too all of the key things are on site. All the long-lead items have been procured and delivered to site. This is one of the ones that we're worried about. There's the mill shell, that's a big piece up here as well. Power plant has been done. That's all in place. Here's another view of the CIL tanks. There's is the coarse ore stockpile. There's your reclaim tunnel underneath there, very well-engineered, designed, reinforced. That's a key component, that reclaim tunnel underneath. So that's all been done. And I must say, although the project is costing a bit more, the quality of what we've got here is top-notch. So we're very pleased about that too. So Australia, production then steady as she goes. 442,000 ounces, costs $900, making cash. Exploration is looking good. I've got a couple of slides on that too. The one project that is bubbling under we haven't told too much about, there's a prefeasibility study on paleochannel project at St Ives. Paleochannel is essentially thinned riverbed-based material largely, sort of alluvial type gold, but also we do have a supergene component, which means it's not all river sand. A lot of it's actually in situ. It's always been there. There's potential here for between 2 million to 3 million ounces and we're going through a study here. But this will have to be mined almost as a discrete project because we wouldn't be able to get all this material into the plant. And already Neptune is a paleochannel in essence, and we have to blend 25% of Neptune with 75% fresh from Invincible and from Hamlet underground. So we'll need something different here. But this looks exciting, potentially 2 grams a tonne plus, but we'll have to find a bulk mining method to move quite a lot of waste on top of that. It won't be able to be mined conventionally. We'll give you more on this as we learn, probably, at the end of the year some more. Agnew, number of you have asked me, well, isn't Agnew dead in the water? I mean, that has only got 2 years of reserve. How long are you going to persist with Agnew? Well, I think, Agnew has got a lot of legs in it still. This is the area that excites us the most. Waroonga North. This is on a sheer zone that is essentially parallel to the main Kim sheer zone. Kim has given us about 1 million ounces of 10 grams a tonne over a 10-year life. So it's has been a fantastic mine for us. The indications are, this is looking like another good mine, open at depth, open laterally. We haven't found how big this is yet, but we'll start mining this. We've got about 3 drives in there. So this can be easily accessed and mined from the existing infrastructure. We can share the ventilation as well. So not a huge of amount of money to get in here. So that's part of the future. FBH continues to get bigger, down here. So we're seeing extensions up, down and latterly. So, lots to be enthusiastic about at Agnew. New Holland side of Agnew. This was the all Lawlers' operation again. We're seeing some new trends over here, Sheba South, New Holland, Sheba North, Lower Genesis. This is about 2 kilometers of more than just anomalies. We've actually got drill holes in here, Genesis as well. So a lot coming out here into the future. So pleased to see that too. Then something that really surprised me. We mined an old pit called Redeemer way back when. This is a long section that's plan view, backfilled it, gone. We've always had a small resource here that was never economic. Then we started drilling it again and it's not underneath the old pit, it's offset to the main pit, and we are finding some really good drill results underneath that. And - we've put selected drill results in here, but, in fact, we haven't had any bad ones yet. Normally, the geologists would only give the good ones. And normally for every good 1, there is about 3 bad ones, but so far, this has been pretty good going. So we're building something here. So we think there's potential here for another 1 million ounces on top. A lot more work to do, I mean, this is not something we're going to be mining tomorrow. But over the next year, we'll do some more work and this will be something, hopefully, that will be in the future of Agnew. At St Ives, you all know about Invincible, the open pit, the different phases here that's been a fantastic mine for us. Sadly, probably going to be at the end in another 1 year to 15 months or so, but we've started 2 portals here into the underground mine. Underground mine is already into its first stopes and building up production nicely. You'll see in the book we indicated what the increase in the ounces were coming out of the Invincible underground. That's not the end because we've got Invincible South coming on the other side of the alpha island fault. And we've got Invincible Far South, but they have now called it Jasper. I don't know where they get these names from, but anyway, they've called it Jasper. So that continues down trend. And then at the deep side, we're seeing more. So those of you who want to see the drill results for the geologists, that's a blow-up of some of the drill results at Deeps. As you can see, I quite like that one, 10 meters at 8 grams that looks pretty good. 12 meters at 11 grams, not bad at all. If this holds together, we're going to be seeing something really special, 14 meters at 8 grams. So some interesting stuff here, 7 meters at 45 grams. Definitely something here, hopefully, it holds together, time will tell. Granny Smith. Remember this was the barrack acquisition back in 2013. When we bought this mine, it had 670,000 ounces of reserve and had round about 3 million ounces of resource. Today, we've got 2.2 million ounces of reserve, which, obviously, excludes what we've mined in the 5 years. And we're sitting on a resource now just over 7 million ounces. So we're quite excited about what we have here. The center of gravity at the moment is here. This is where we're mining. Most of the mining is coming out here. You'll see, we're doing a lot of the mine definition drilling the zone 110, 120, zone 135. That's going to be the mines of the future. And you're looking at anywhere between 1 million to 2 million ounces per load in situ, of which we've probably extracted round about 60% of that. So that's the one part of the program is doing mine definition drilling for the future. And then doing extensional drilling because what we've seen, as we mine these load above, they keep getting wider. We're seeing more and more and more. So that's the other part of the equation. You're seeing how far it extends. We've got a view that extends out here. So that's brilliant because if it does we can maybe go out latterly before we go down further into the mine itself. So this has been a fantastic operation for us, and has made a lot of money, got a payback of just over 2 years, so lot more to come from Granny Smith from Wallaby. And that's really the upper part of the mine. If I just go back for a moment, up over here, zone 256. But we went back and had a look. This wasn't mined by us. This was mined by the previous owners. But we went back and had another look, and guess what? We found some more up here. And you're seeing a couple of drill holes going in here, again, some interesting stuff. So we think we're going to augment from the shallow part of the mine, which will be cheaper as well because not far to get down there. All right, South America. What we can say about Cerro Corona. It just continues to be a fantastic operation. It's been 10 years now, 10 years in production. It's made a lot of money for us and there's a lot more to come here, we believe. The feasibility study for the life extension to 2030 is going well, but we're not ending there. We have an objective to go way beyond 2030. We're doing a scoping study. There's potential for more tails capacity. There's potential for different tails and there's also potential for a pushback on Corona as well. So that's the work that we're going to be doing. We can see this going beyond 2030 if we're successful with that scoping study. Salares, as I've mentioned, on track for the end of the year. EIA finally accepted so the clock is ticking, could be 18 months, could be 2 years, we'll see. That's the key decision point. Once we got that, we're good to go. Just remind you, we've got a resource of 23 million tonnes at 4.9 grams gold, 66 grams silver, 4.3 million ounces of gold equivalent. And that's virtually all in the indicated, there's very little inferred in here and virtually all in oxides. 10-year life, 3.5 million ounces produced, that is front ended. CapEx of $850 million. We can see about a 3-year payback on this. But we're doing more work on the district around us. We have many other options on properties, properties we earn, properties we've staked, so we can see the potential here for a camp. West Africa. 319,000 ounces, very similar to the previous half here. Costs down, all-in costs down, going well. I'm very happy with the Ghana region and the work that we're doing here. So this is in really good shape. South Africa, we've talked about. Production being lower than last year. New shift arrangements and labor restructuring probably had a hangover effect and hurt us. We've also had some ground conditions that have meant we have had to pull things out of mining that we were going to mine. And, as always, this happens in the high-grade part of the mine. The composites as well is right up against the Western side in the wedge up against the shoreline, fairly broken up ground that we've again had to go slower on and couldn't mine it this year, but it's not gone. The important thing is we will get back into those high-grade areas in time. The 189 notice, I think you know about, affecting 1100 employees, 460 contractors. So that's about 30% - 25% to 30% of the workforce regrettably. We've started this process. Remember it's a consultation process. No final decision yet, but that clock has started ticking yesterday as the notice was served, and we'll engage with the unions. We've briefed the minister. Saw the minister myself on Monday and briefed him. So he is up to speed with where we are. Obviously, it's not the kind of news people want to hear. And we've thought long and hard before moving into this. Some people think this is the beginning of the end. We think this could be the beginning of a restart for us by getting this right. And decluttering the mine of machines and the people in the mining area can make a big difference. Often people have come to us and said, "If you could mine the operation with less fleet, less people, your productivities will improve, your logistics will improve, you'll get more people, you'll get more ore out of the mine, you'll get more productivity from your people, if you do that." So let's see how we go. We've done the impairment as well on the back of the lower production and assuming that lower production is extrapolated into the next year. Okay. This restructuring entails us shutting down a big part of old mind. And although it looks like a big part, it was only giving us about 600 to 700 kilograms a year, but we can take out a lot of infrastructure costs by taking that out. And we can redeploy those crews into the high-grade areas further down here, where we can get a much better output with the improved infrastructure that we've put in. We then can actually stop servicing all of the mining areas from twins and south shaft and just service all the mining areas from twins thereby, having a much more efficient mining schedule and logistics. Because we are losing money and we're ahead on our development in the new mine, we're going to take a break on that, and rather just focus the strong performing teams over here, and improving our gold winning over here. And we can come back to that later. We do have the flexibility to do this. So the immediate concern for us it is to stop the cash burn. We've had a cash burn of ZAR1 billion a year now for too many years, which as I say translates to ZAR3 million a day. Continue to embed proper mechanized mining practices. We still believe we have a hangover effect from legacy conventional mining practices, particularly given the fact that you've got to integrate all of your activities of your mechanized mining together. Your development, your stoping, your cleaning, your backfilling. If you don't get all of that in synch, you run out of ground to mine very quickly. We still haven't perfected that and we're working on it. The team does know what the problems are. The important thing is we understand the issues. We believe we know what the solutions are. We need more time to fix this. Obviously, the mine has disappointed a number of times. There are no guarantees this is going to work, but we do believe this is the best course of option to give this mine the best possible chance for the future. We've got to get into the north of Wrench. That's the area we've set up with much more efficient structures, redundancy with additional ore passes, crushers, conveyor belts, the kind of things that mechanized mines across the world have that we will have for the future. And that's the bulk of ore body that we'll be mining over the next 20 years. This part here is only about 1.5 million ounces. This part here plus the 10 million ounces. That's where the future lies. All right. So in conclusion, we did say '17 and '18 are reinvestment as we look to build new projects that we'll underwrite. A better future for us in terms of a longer life for Gold Fields at lower costs, particularly, important given volatility in the gold price. So we're 18 months through what is essentially a 30-month profile. So we're more than halfway. The international portfolio continues to be strong. And it's important that we continue to look after that. It's the underpin of the company. And the balance sheet is reasonable. And we're engineering a better solution at South Deep for the future. Thank you very much.
Avishkar Nagaser: Okay, we'll take questions from the audience first and then we'll go to the line.
Q - Brendan Ryan: It's Brendan Ryan from Miningmx. Nick, you stressed the importance of getting into the North of Wrench area and that's where the future of the mine lies, at South Deep. And you previously indicated that was going to take some 3 years before you knew what you had there. Does that mean that irrespective of what happens at South Deep from your restructuring, and you're not giving us any targets, irrespective of what happens from your restructuring, are you going to keep this mine going for the next 3 years until you've got into and can assess North of Wrench?
Nicholas Holland: I think the first and most important objective, Brendan, is to improve what we're doing at the moment. And if we're going to be flatlining at the production rates that we are now, we've got to rightsize the cost space to that. If we do that, I think, we can buy ourselves time. We've spent a lot of capital in opening up the North of Wrench. We do know what's there. But it's a question of getting to it. And the thing that's worrying us here is, although we see a future there, we can't afford to be burning the amount of cash that we're currently burning, while we wait to get there. And that's why we've taken the steps that we are taking now. I still believe in the future of South Deep because if we didn't, we wouldn't have selected this option. The team believes in it. And they want to give this a go. But we recognize, like you, there's been many missed forecasts and targets. And we're conscious of that too. So we need to make sure that's this is something that has got a better chance of working. Certainly carrying on as we are and losing ZAR3 million a day is not a good option for us. But this buys us time to get into what we hope will be the promised land.
Brendan Ryan: You say losing ZAR3 million a day isn't an option for you. What would be an acceptable rate of loss while you strive towards this future?
Nicholas Holland: I'll leave that to my financial manager - officer over here to answer.
Paul Schmidt: Good enough. I think we have got to work through the next six months. We've got to get through the restructuring if that does happen. And the short-term goal is to trying to get the mine back to all-in costs of ZAR525,000 a kilogram, which basically implies it's almost cash neutral. But a lot of work is going to be done over the next six months. We have said we will come back to you in the new year with probably the forecast for 2019. That's about it at the moment. We just need to do what we need to do with the restructuring and everything and reset the mine.
Nicholas Holland: Can I also just ask, Martin Preece is here who has been working day and night to get us to this plan and working day and night to try and buy us a future. So maybe we could just give him 2 minutes to get his perspective on how we build our future. I don't know would he need a microphone.
Martin Preece: Thanks, a lot. I think Paul and Nick have summarized that we've got to I think move then take a step change to move out of this conventional mindset into mechanized mindset. And We've got a good team on board. And I think Nick, sort of, touched on it lightly, I think that he is committed and believes that they want to go the course to lend this. The one thing that's really important, I think is, it's more an engineering endeavor than it is a mining endeavor. And what's really pleasing is we've got a really strong mining guy in a - strong engineers been around a while. And we've parked them in offices next to each other, with a hole we put a door between the offices and more and seasoned, the coach will enter the hype. And I think that's the - that's all in the necessary supporting thing. A lot of effort is going to go into how do we structure our teams and build on some of the works some of the other mining companies have done to drive that frontline productivity and get frontline people to take ownership and own their outcomes. That it's not a one-man decision, plus it's people at the own - at the front end or driving their own destiny.
Brendan Ryan: Nick, one last question, then I'll shut up, in South Deep. Given the history of the mine, you can understand there is a tremendous amount of negative and cynic viewpoints on South Deep. So what is it going to take for you to say, okay, guys, this isn't going to work, we've had enough, we're going to sell it or shut it down. What has to happen before you say we can't make this work and we're out of here?
Nicholas Holland: Yes, I think certainly, let's assume we get through this restructuring, and I think this restructuring is not going to be easy. But let's assume we could fast-forward and we're sitting here in February. We need to know that we've got a credible plan that we can meet. And then we're starting to see that on a week by week basis or month by month basis, we meet whatever we say we're going to do. So that #1, the team on the ground on the mountain can build up their own confidence. And two, that we can. I think the thing that would cause Paul and I to lose more confidence is if we continue to miss targets. I think whatever we set out for ourselves, post all of us this, we've got to hit. And we've got to build some momentum. I think you want to add to that?
Brendan Ryan: So the next six months are critical?
Nicholas Holland: Yes, critical.
Yatish Chowthee: This is Yatish from Macquarie. Just to ask back on your South Deep progress. In terms of assuming the worst case scenario that your production is significantly hampered going in the second half on this restructuring. What levers do you have on your other assets to actually make up your annual guidance between 2.08 million and 2.1 million ounces?
Nicholas Holland: Yes. Look, the one thing we don't like to do is push people out of a long-term plan. And all of our mines have a long-term plan and special compliance is important. And if you get out of your special compliance and your over mine in nice high-grade area, you're going to pay the price next year. So I think we've got to make sure that the international mines keep doing what we're doing because we also want to make sure that 2019 is a good year and 2020 is a good year. But I think what we'll do instead is we're curtailing some of the capital expenditures as you've seen on South Deep. We can curtail stay in business and grow the capital. We will see some impact on the operating costs. But let me just say, we are not saying that people missed out on tools today and sit on the ground for next 2, 3 months waiting for this to happen. People have got a responsibility to work. I mean, they're being paid a very good wage to work. So we would expect all of our teams from our managers all the way down to the phase. Our expectation is for people to keep working to make sure they don't create an even worse future for themselves. But assuming the worst case, and you're an analyst so you have to assume the worst case. It might be that our production is going to be a lot less in the second half than what it was in the first half if things don't go well. And the first half wasn't great either. That would mean the cash losses could increase. And unfortunately, we are making good money on the international operations. We've got a strong balance sheet. And Paul, I think is comfortable with our overall financial position. But I think we've got to run those assets optimally. And we've got to do the best thing we can do here.
Yatish Chowthee: Then just to follow up on - in terms of where, assume again, looking at where the gold price is today, and looking at your funding requirements at your other assets. Is there a concern that - again, with South Deep of the table, you're going to run into a bit of a balance sheet constraint going in towards year-end?
Nicholas Holland: You could answer?
Paul Schmidt: We are basically hedged. That's fairly much most of our production that the international operations for the balance of the year. Australia is hedged 100% of the balance for the production, with a flow of AUD 1,700. Ghana, we've hedged circa 80% at a flow of GHS 1,300 of our production. Peru, the copper is fully hedged for the balance of the year. And we've got a small hedge in South Africa, even for South Deep with a flow of ZAR600,000 in a kilogram. So for the balance of the year the gold prices will be good for us because of our hedges.
Bruce Williamson: Nick, I'm Bruce Williamson, Integral Asset Management. Nick, just looking or listening to what the guys have said, talking about structured team operating like others, which I mean, I'm assuming other trackless mining operations, people taking responsibility. If you look what the mine's been through over a long, long, long period, I mean your psychometric testing of your work force, are you guys sure that you actually have a workforce that is correct for what you're asking them to do?
Nicholas Holland: Yes. That's one of the issues we've looked at in some detail. There are gaps. And I think for us to say that we've got a fully fit for-purpose workforce in terms of world-class mechanized bulk mining, no, we don't. We've got work to do. And training is a key part of our program. We are training a lot of people in the classroom and the training facilities are giving some good results. But our ability to translate that into the workplace is somewhat absent. So that's another part of the exercise we're doing here. And again, I think, I'd like for Martin to add a bit more color to the answer because he has been working in detail on this for many, many weeks and months.
Martin Preece: Thanks, Nick. I think that is a big area of focus. There's a big exercise that was conducted before I joined, getting the managerial level's psychometrics done. Because I think it goes across the board. We're reaching agreement on doing psychometrics on entry-level positions as well. And, I think, it is critical. I think it goes beyond psychometrics. One of the key things with operators is a test called a Dover test, which we likes to - ability to almost operate in a 3D-special environment. So we're moving into that space. And Nick did make the point around classroom training and actually transitioning that into the can-do attitude, at the first that's taking the theory in to the practical. We've done a lot of work of being through with our head of HR. We brought in independent people to look at our training processes. They're comfortable, offset within, the process is good, the material and content is good. We're getting - we're seeing marked improvement in skills acquisition work. We've got to drive now skills application.
Bruce Williamson: Certainly, I would identify that as probably your most critical things to get right?
Avishkar Nagaser: We pause the conference call to see if there are questions.
Nicholas Holland: Are there any questions on the conference call?
Operator: We have a question from James Will of RBS Capital Markets [ph].
Unidentified Analyst: Just on the international portfolio. Firstly on Ghana, are you able to comment on some of the press reports that the government are unhappy or looking to shake up the mining royalty and tax regime? And secondly on Australia, some of the domestic producers who've seen report have talked about inflation and sort of labor shortages and contractor issues, et cetera, coming in - back into the industry? I mean is that something you think could have an impact on your cost base looking in to next year? And on a hedging side in Australia, is that something you're going to continue to do next year and going forward?
Nicholas Holland: Yes. Just dealing first with the second part, James, on Australia. We are starting to see an increase in turnover rates of critical skills as mining starts to recover in Australia. It's something we watch quite carefully. So I do think there is going to be a big play on skills. As projects come through. We've seen this before. When you often find the worst for world is when iron or nickel are going up and gold is going down. We still got to pay the same wages that they offer, and it puts us under tremendous pressure, and I've lived through that in this company before. So that is a real risk. We had very benign inflation in Australia for a while, but it's changing. Had we started the Gruyere project today, I'm pretty confident that the total cost of that project, if we started today, would be a lot more than when we have started. So we're catching the back end of that cost inflation. But certainly that's a risk for us and we've got to watch for that. Just in terms of Ghana, obviously, there are some fiscal pressures in the country. But remember, we do have a development agreement. The pegs are royalties and our taxes for life of mine. So we are protected there. But obviously, we watch carefully developments as it unfolds in the country. But for now, I think, we're okay. And then on hedging, look, we have taken some opportunistic currency hedging into next year already, and you'll see it's in the book in Australia. Just to make sure that if - the thing that would worry us greatly in Australia is if the Aussie dollar came back to parity with the U.S. dollar. And since we've operated in Australia from 2001, I have seen the Aussie dollar as lows as $0.45 and has high as $1.25. So that's a hell of a wide range for the Aussie dollar against the U.S. dollar. So it can be volatile. So that's just the one area we just want to protect ourselves. We're nibbling away there. We'll see how that goes in the future. But it seems to me it's going the other way in the markets. Because the U.S. dollar is something of a safe haven at the moment. People are piling their money there in the midst of all this trade wars and so on. So maybe we're going to be proven wrong and the U.S. dollar continues to be strong, time will tell.
Operator: Our next question comes from Johann Steyn from Citigroup.
Johann Steyn: Nick, just regarding the whole thing about skills at South Deep. I do find it somewhat puzzling, given everything that you guys have done there. And in a sense, I think that South Africans would have found it a little bit insulting. So it either does point to something like you're just not getting the skills, which ultimately should come back to management because it's management's responsibility to fix that. Or it's a convenient way of hiding behind something much more fundamental like this mine is just taking - keep challenging to mine and it'd be a convenient excuse, so which one is it?
Nicholas Holland: Okay, so here is how I would look at that. You've mentioned this before to me, so - I think it was you. So I'll revert back to what you said before. Is that one of the things that concern you is the multiple management changes at South Deep over the years. And one of the issues there is when there's a change in leadership, there is a style of working that comes in and other people come in, teams are built up. And then you get changes in management and often you find that the mine changes. And I've seen that in the other mines that we use to earn that now became [indiscernible] is a - mine might be doing well then the mine manager changes then it can come down a bit and then you've got to resuscitate it. Similar issue here. So I think the mine manger changes and leadership changes have not helped. On this kind of operation, we need to get stability on the leadership. And sure, I mean, you could point fingers at us as the leadership with Gold Fields that hasn't happened because that's our job is to get stable leadership in. But I think, though, without the stable leadership, it's been quite difficult to embed the appropriate mechanized mining practices and culture that we need, particularly, when there are so much changes. And if we can get a period of stability, I'm pretty sure that we can improve on that. So in terms of, is it just too difficult to mine, I had the same thought in my mind some years ago. And what we did is we brought in a team of professors, who are professors in geotechnical affairs and rock mechanics, to come and work with us. There is a couple of them from Australia, there's one from Canada, there's one from South Africa. So they've been working with us closely for about 4.5 years. The questions we posed them is, can we make this mine work? Do we have the right mining method? Do we have the right support practices, protocols, et cetera? And they've been working with us and guiding us to the finishing line. And what they've said to us, and again, they were here literally 6 to 8 weeks ago, is it can work provided that we improve our mining practices. In essence what we've got to do is, we got to open up the ore body quicker. We've got to mine it quicker, we've got to backfill it quicker. In essence, that what it comes down to. And we've been taking too long between all of these things and activities. What's the result? The result is that you get deteriorating ground conditions, you have to come back and rehabilitate pillars and sidewalls and [indiscernible] it slows you up. And you're not advancing quickly enough then you don't open up face. So that's been the issue for us. And that comes down to, do we understand from an integrated fashion what we got to do? So we understand the problems. I think we've understood the problems for a while. But it's now getting all of our levels of management and our teams focused on that. We believe we can achieve that, but it's going to take some time. And obviously, we've had multiple disappointments along that path way. I'm going to also ask Martin Preece who's here just to add his perspective to that because it's quite a fundamental question that you've raised.
Martin Preece: Thanks, Nick. I think that's the question that plagues us all in. I've said to the team on a teleconference, I think, yesterday morning. We asked ourselves the question again. And I think there's broad consensus with the team that focusing on the right things, this is doable, and this is why we taking the pain we're taking now. It's a long hard slog. The - I think Nicholas touched on the integration, and I think it's the integration in the planning. It's the integration in the execution and I think that has been lacking. You started taking the steps to address that integration at a planning's phase. We brought in external people to come and sit and help us build a plan together. And in terms of organization and the restructuring we took earlier in the year, was also aimed at trying to get single points of accountability. which would drive that integration at the front end.
Operator: The next question comes from [indiscernible] of Value Capital.
Unidentified Analyst: Nick, I think from the [indiscernible] how this conference call is growing. It seems like you passing back to Martin, Martin passes back the [indiscernible] to you and it's all gibberish and garbage that you guys [indiscernible] exceeding everybody else. Last time, when I spoke to you on the phone, you were arrogant when I pointed out to you that this mine has sucked up some ZAR50-plus billion of shareholder lands. That is you are dismissive of it, you didn't take accountability for it. And neither did you subsequently [indiscernible] release some kind of a technical view - overview of exactly what's been [indiscernible] South Deep. Now the question I want to put to you, out of the $20-odd million [indiscernible] share compensation that is a challenge that you can't see, how much of it is yours, of that $20 million, how much that it relates to you? That's the first question. Secondly, are you and the team able to release the actual expert reports that you guys keep referring to so that everybody else can actually read that and make a view about what's happening at South Deep. So those are my two set of questions that are await for your response.
Nicholas Holland: I think on the second question will take that under advisement. But we hear what you're seeing in terms of transparency. And thanks for the suggestion of being transparent and even more transparent on some of the stuff you're referring to. So we'll take that under advisement. The first question, I didn't quite understand. Could you maybe just repeat that first question?
Unidentified Analyst: Of the $20 million in share compensation for the half of first year - half year, FY '18, how much of that $20 million relates to your compensation?
Paul Schmidt: I will talk to it. Steadies for the whole group that's for six months, Nick see a fraction of that number. That's for the whole group. It covers all the regions, corporate offices, the 4 corporate entities. It's a minute portion of that.
Unidentified Analyst: Now, what is minute? How much? I mean minute is a figure, number. That's why you can put $20 million on the income statement.
Paul Schmidt: It's a calculation that's done on an overall basis, not on the individual basis. When this pays out, you'll see what he gets. At the moment it's a globular calculation done for the whole group. And it's a valuation methodology it's not done on the individual person at the moment. It's done for the group based on the metrics that has been set in the share scheme. When it matures, and that matures each year in February. You will see what each person gets. And Nick's will be disclosed then. At the moment I cannot tell you what it is, but I know it's - there's lots of people in that scheme and there's no person that accounts for a huge portion of it.
Operator: There are no further questions on the lines.
Avishkar Nagaser: One for you here Paul. Could you quantum and terms of the debt that matures in 2019? And what's the plans for the maturity?
Paul Schmidt: That's $380 million term loan that expires. We'll consider our options as to how to refinance it in the year coming up. That's it, it's $380 million that expires.
Avishkar Nagaser: What is the cost of the debt, interest rate?
Paul Schmidt: The cost of that debt at the moment is probably about 3.75% if you take it - about 2.4%, 2.5% above LIBOR.
Avishkar Nagaser: Brendan?
Brendan Ryan: Nick, Brendan Ryan, again mining your mix. You mentioned in your report that the Ghanaian government wants to enforce its rights to buy 30% - up to 30% of your gold directly. Can you elaborate on that please? What's in it for them? And are they going to try and force you to sell at a discount?
Paul Schmidt: I'll answer it. We've just - it was a letter that was sent to the chamber. That's when we see, it was literally a one-page letter, we replied yesterday as a chamber. We need explanation. There was no information on how, if, by - how we're going to be paid, when we are going to be paid, what's it going to be based on, U.S. dollar series we have no idea. We are waiting now for explanations on the government as to how they would want to implement it. But we thought it was prudent that we notified our shareholders and said we have received this as an industry and Gold Fields' being one of the members. We've received this letter and we put it up. We don't understand the implications of it because we have no more information.
Unidentified Analyst: But it could be negative depending...
Paul Schmidt: We don't know. Could be, we really don't know until we see the terms as to what that proposed to do.
Avishkar Nagaser: Okay. Are there questions here there? On the call is there anything else? No. Well thank you very much. We'll see you again in six months' time.